Operator: Good morning. Welcome to the T-Mobile U.S. Third Quarter 2015 Earnings Call. Following opening remarks, the earnings call will be opened for questions via the conference line, Twitter or text message. [Operator Instructions] I would now like to turn the conference over to Mr. Nils Paellmann, Head of Investor Relations for T-Mobile U.S. Please go ahead, sir.
Nils Paellmann: Yes, good morning. Welcome to T-Mobile's third quarter 2015 earnings call. With me today are John Legere, our President and CEO; Braxton Carter, our CFO; and other members of the senior leadership team. Let me read the brief disclaimer. During this call, we will make projections and statements about the future performance of the Company, which are based on current expectations and assumptions on Forms 10-K and 10-Q include risk factors that could cause our actual results to differ materially from the forward-looking statements. Reconciliations between GAAP and the non-GAAP results, we discuss on this call can be found on the Investor Relations page of our website. Let me now turn it over to John Legere.
John Legere: Okay, good morning everyone, and thanks for joining us. Welcome to the T-Mobile Q3 2015 Uncarrier earnings call as well as Twitter conference that will be letting you use as well. We're live from the NASDAQ Headquarters here in New York City where we are again providing a live video stream, so you can watch all the action behind the scenes via Twitter or YouTube and I am glad I just reminded myself of that as I said it. It’s already been a big morning here in New York. The T-Mobile team and I just ran the NASDAQ opening bell about 30 minutes ago and our stock began trading on the NASDAQ under our ticker symbol TMUS. We are a mobile internet company and we'd like to disrupt things. So I think we have a lot more in common with the tech companies of Silicon Valley that are traded here on the NASDAQ. Even more exciting though are our fantastic Q3 results, basically we continue and inflict pain on the duopoly by solving customer pinpoints. And just to double down on that, I hope some of you got to see the message we sent to Verizon yesterday and we planned to send to AT&T this morning. Sky lighting seems like a logical way to make sure they don't ignore the fact that consumers want them to abolish overages. Anyway, today we will generally go with the same Q&A approach as we did last quarter and to accommodate all your questions this call will last for up to if needed 90 minutes, taking questions via Twitter, text and on the phones. So, let’s get onto it. It’s been a pretty incredible quarter for T-Mobile and our Q3 results show that the business is firing on all cylinders. Let me jump to some of the highlights. We now have more than 61 million customers. Our 2.3 million total net ads in Q3 marked the 10th consecutive quarter of over 1 million. It was also the fifth time in seven quarters we added more than 2 million. We also added 1.1 million branded postpaid customers, the fifth consecutive quarter we gained more than a million. Yet again, we demonstrated our laser sharp focus on branded postpaid customers, the most valuable; the postpaid phone - the most valuable customer segment in the market. In Q3, we added 843,000 branded postpaid phone net customers. For those of you keeping score that seven quarters in a row that we've led the entire industry in postpaid phone additions. And in prepaid where we have the industry's biggest and best prepaid brands, we added 595,000 new customers. That's more than triple what we did in the second quarter and it was our best result since combining with MetroPCS. Now, we're not just winning customers, we're keeping them. Branded postpaid phone churn was down 18 basis points year-over-year to 1.46%. That's the best year-over-year churn [ph] reduction for us this year. It did increase a little sequentially which was expected given the normal seasonal patterns. Our momentum continues into the fourth quarter with positive postpaid porting against all of our competitors. We've had 10 quarters in a row with overall positive postpaid porting ratios and I don't intend to stop that trend now. Of course, our growth is largely fueled by America's fastest 4G LTE network. It isn't just the fastest, it's also the fastest growing and we have big news here today. You are the first to hear officially that we now cover 300 million LTE POPs. This was our goal for the end of 2015, and we achieved the milestone months ahead of schedule. Huge thanks to Neville Ray and the best network team in the industry. And we are on track to add 1 million square miles of 4G LTE coverage area this year. Today, we have 245 market areas with wide band LTE and we're on track to be at more than 260 market areas by the end of the year. We've had the fastest 4G LTE network now for seven quarters in a row and wide band is making our blazing fast 4G LTE data speeds even faster. Our deployment of extended range LTE on 700 megahertz A block spectrum is way ahead of schedule. 204 markets are live covering a 175 million people and we are on track to end this year with more than 350 markets including the cities of New York and Seattle. Further, we have reached four additional agreements in principle that add licenses covering another 20 million POPs of 700 megahertz spectrum to our portfolio, bringing the total now to 210 million and covering additional cities like Phoenix, San Diego, Las Vegas, Norfolk, New Orleans, Tucson, Baton Rouge, Pensacola, Macon, Fayetteville and many others. We expect we will have other 700 megahertz A block transaction at the broadcast incentive auction approaches and current holder’s options to monetize significantly diminished. We're committed to participating vigorously in the incentive auction to fill out and bolster our nationwide low band spectrum. This new spectrum is a game changer for us, it travels twice as far and works four times better in building. And you can now use it with all the new invites that devices including the iPhone 6S and the 6S Plus. Americans continue to respond and switch to the Uncarrier. We remain completely focused on changing this industry and making it better for customers, our Q3 numbers show the huge effective moves. Now frankly I could talk about these results all day. But I'm going to hand it over to our CFO, Braxton Carter for key financial highlights after breaking one more piece of news that I've been waiting to share. In just two short weeks, Uncarrier 10, or Uncarrier X is coming. Yes, invites are probably going out to members of the media, right now, while I'm sitting here and I can't wait. Mark your calendars for November 10, 2015 with more details to come soon, and now onto Braxton.
Braxton Carter: Hey, thank you John and good morning. Let me give a quick snapshot of our financial results. Our customer growth is translating into strong financial growth as we once again delivered industry-leading metrics. Service revenue grew by 11% and adjusted EBITDA came in at $1.9 billion, up 42% year-over-year. The adjusted EBITDA margin expanded from 24% in the third quarter of last year to 30% this year. I am particularly pleased that we generated meaningful positive free cash flow this quarter. Free cash flow was $411 million or $487 million adjusting for the one-time decommissioning cost of the MetroPCS CDMA network and that's up from a loss of $69 million last year and we expect to be free cash flow positive for the full year as well. Net income and earnings per share were also up year-over-year and we expect both to be positive in the fourth quarter and for the full year 2015. The reduction compared to Q2 was primarily due to a return to a normalized effective federal and state income tax rate and higher MetroPCS decommissioning expenses. Based on our great results, we are increasing our postpaid net ads guidance to a range of $3.8 million to $4.2 million. While maintaining once again our adjusted EBITDA guidance of $6.8 million to $7.2 billion and our cash CapEx guidance of $4.4 billion to $4.7 billion. I should point out that this is our third customer guidance raise this year, while maintaining our EBITDA guidance stable throughout the year. Just as a reminder, our financial guidance excludes any benefit from the impact of JUMP! On Demand and Data Stash. We will disclose the aggregate non-cash impact from JUMP! On Demand and Data Stash in future quarters. In the third quarter, the aggregate impact was immaterial as JUMP! On Demand is just beginning to scale. In summary, we've delivered very strong financial results in the third quarter and maintain a very aggressive outlook for 2015. Now, let's get on to your questions. You can ask questions via phone, text message or via Twitter. We will start with the question on the phone. Operator, first question please.
Operator: Thank you. [Operator Instructions] We will talk our first question from Phil Cusick with JPMorgan.
Philip Cusick: Hi guys. Thanks. Couple of things, John, can you expand on the 700 megahertz you've already brought that 20 million POPs how much did you spend on that? And as well on the potential due major deals ahead of the auction and with the FCC change in anti-collision rules would you expect to be able to talk to other bidders to the process or should we still think of it as sort of full blackout period between bidders? And then Braxton, you've talked about spending as much as a turn of EBITDA on the auction coming up. How do you plan to raise that money? Should we think about any equity component like a convert or expect that to be just straight debt? Thanks.
John Legere: Let me jump around and first just say that the additional agreements, we are not discussing the details on today because they are late breaking. So you can just rest assure that the same prudent way we've been very carefully and slowly looking at ways to add to our low band portfolio that certain players in their view saw that says the time that they should monetize and we've had a lot of success in - so we're not going to give the details of those at this particular point in time. The question associated with the anti-collision rules and certainly right now it's a wide open period from a standpoint of the anti-collision period. I believe that will start in January. But I don't see that impact and what we see taking place over the next quarter. If in fact something highly opportunistic that does come up. From a stand point of the initial portfolio of what we spent on the low band and Braxton if you want to talk about that.
Braxton Carter: So I think that as the broadcast incentive auction approaches, the opportunity for existing 700 megahertz holders to monetize will be diminished because we'll get what we need in that option. We're very pleased that we've already added roughly 20 million POPs since our last public discussion and again due to confidentiality provisions, we're not messaging that. But we're very excited about that opportunity and if the holders of the spectrum don't participate in some transactions they are facing very aggressive build out schedules and again we think that there is a going to be opportunity. On the upcoming broadcast incentive auction this is going to be transformational for our company. We've talked about the benefits of low band spectrum. Customer retention, better in building penetration in the major geographical areas geographical expansion of the much more economical rate. And we are prepared to be as always disciplined but aggressive in the upcoming auction. Consistent with all of our prior disclosure sale, we believe that we have more than adequate cushion from a leverage ratio standpoint with no adverse consequence to our existing bondholders or corporate rating to fully fund whatever we need to do in the upcoming broadcast incentive auction. And we currently have no intend to access the market from in equity standpoint or any equity linked security. So we've met with all the major rating agencies, have confirmed that position and I'm really pleased to announce that we just put on Bloomberg yesterday we're kicking off a process to issue secured debt in T-Mobile US for the first time. And this was something that we have to have the ability to do before. We are not going to issue a great deal secured debt is going to be of course investment grade rated. But we're going to put a benchmark security out in the next week. And - we have roughly a $1 billion size. And given the recent success on 700 A Block continued rollups. We think it's prudent to take that initial step at this point maybe good to have a benchmark security out there in the term loan B market. So any other questions on that?
Philip Cusick: That's great. Thanks Braxton.
Braxton Carter: You're welcome.
John Legere: Take more on the phone. Operator?
Operator: And we will take our next question from Jennifer Fiche [ph] with Wells Fargo.
Unidentified Analyst: Great. Thank you. First and very nice free cash flow performance. I wanted to explore a little bit on the leasing plans. Can you talk that do you expect these are they already having an impact on the equipment revenues. And do we see kind a more year-over-year declines on that as people migrates to JUMP! On Demand. And then as an add on to that, Verizon indicated that are hinted toward that the rating agencies are having some questions about the leasing plans. Are you seeing that or can you talk about any dialogues you're hearing on that front. Thanks.
Braxton Carter: Yeah Jennifer. Good morning. Yes first let's back up JUMP! On Demand is oriented towards our Hero devices in smartphones. We currently only have four devices, but essentially all we're doing with those 4 Hero devices is JUMP! On Demand. And we've try to be very thoughtful in our disclosures relating to the impact of leasing and all the ins and outs from a financial perspective. But you're absolutely right, under the leasing construct there are no revenues associated with the initial sale or at least for the handset and there is no cost of sales. And we're capitalizing the price of the handset and then depreciating that over the life of the handset. We believe that the right proxy for understanding the non-cash impact, which is the rating agencies are very focused on is the lease revenues that are recognized. And when you go through all the ins and outs that's the best way in contrast to EIP to understand the non-cash benefit to the EBITDA. For the third quarter, there was an immaterial amount of lease revenue significantly less than $15 million. And as promised, we are disclosing the net non-cash impact of leasing in Data Stash. Data Stash was also immaterial we have reversals or usage of the gift that was given at the beginning of the year but we also had new deferrals of customers taking advantage of Data Stash. So netting those two numbers together it's a very insignificant amount for the quarter. We will as promised disclosed as we do anticipated to be more of an EBITDA benefit in the fourth quarter and certainly we'll put a point estimate out. We have met with all the rating agencies, Moody's, S&P and Fitch. And as I mentioned, we are investment grade on the secured debt that we’re putting out. We also understand completely our parameter with no adverse consequences to our corporate rating or to our bond rating which we are very, very committed to. In the course of that dialogue, the rating agencies are in fact looking at the differences between leasing and EIP and discounting the non-cash aspect of that in computing their leverage ratios. So this is something that we’ve had very extensive discussions and have confirmed with the rating agencies.
John Legere: I'm going to just to be fair and move around, we’re going to go back to the phone call the second plus the Twitter and other questions are piling in and I’ll just merge two of them one from Arthur Pielack and then from Zachary Child both have to do with the same topic associated with, can you give us an update on porting rates from other carriers as well as who are you taking the most from? I mean the simple answer who we’re taking the most customers from is AT&T. The full answer is we’re taking customers from everybody and just I’ll give you an update on few of these things which is for the quarter for Q3, the overall postpaid porting rate was 1.8 and that is by the way the 10th quarter in a row that we were positive porting on the postpaid side against the whole industry combined. Then it was the seventh quarter in a row that our porting was positive against every individual carrier so we’re clearly taking customers from everybody. I'll remind you that the postpaid porting I think I may have covered before but for Q3 it was 1.33 with Verizon, 2 or 1.98 with AT&T and 2.09 with Sprint. Now if you just want to get a latest view I can just tell you that the last seven days so you look at a week at a time in the last week the postpaid porting with the industry is 1.9 with Verizon its 1.44, with AT&T its 2.25 and with Sprint it’s 2.07. And again I would expect Sprint to post some positive phone results this quarter I think they’ve been doing a good job. But I’ll just point out that this was nine quarters in a row that the postpaid porting against Sprint is 2:1 or greater and that’s the trend right now. And I think the important part is certainly as I've said many times if you look at the results that we’ve just posted they are phenomenal across the board and it seems as if they require some digesting for everyone to understanding them in detail. But it’s pretty clear that it’s not important to ask what Sprint to fail as you can see here. And frankly if they do report strong results it’s not in our expense which I think is good for the industry and good for the consumers. And why don’t we go back to the questions on the phone?
Operator: And we will go next to Kevin Smithen with Macquarie.
Kevin Smithen: Yes when you think about purchasing additional 780 watt how should we think about the CapEx levels associated with that deployment and really start to think about ‘16 CapEx and how quickly can that spectrum be deployed in the market?
Braxton Carter: Well I’ll start and then hand it over to Neville. I think this is a very impressive thing that Neville and his team have accomplished. When we purchased the first 150 million tops in the Verizon transaction year and a half ago, roughly 50% of head channel 51 interference and in traditional duopoly practice we’re helping spectrum to keep it away from the competitors when we started calling to broadcasters to clear it, they said wow, this is the first call that we’ve ever gotten. And this team did an amazing job and clearing essentially all of that spectrum now which is being very aggressively rolled out and that is certainly our expectation on any additional spectrum that we are able to roll out from current A Block holders. From a CapEx standpoint we have already rolled out the vast majority of the spectrum that we owned all within the CapEx parameters that we disclosed and reiterated our guidance for the third time. Because essentially the vast majority is overlaying the existing network. Now that certainly we are doing some geographical expansion but that is also fully included in the guidance. So, I wouldn’t look at that as being a catalyst for any significant debt function change using CapEx going forward and I would more look at it Kevin from a standpoint of tremendous opportunity for our company. It's the one asset that we've haven't had in the past. The improvements in customer retention from better in-building, the ability that's very cost effectively expand geographically. The team has done an amazing job populating 700 megahertz compatible handsets into our ecosystem and the recent iPhone launch was a big win for us in that regard. And there is going to be a lot of goodness that’s going to come out of this both from tapping areas of the US where we have zero penetration and haven’t been relevant before to better overall customer acquisition. I am going to turn it over to Neville to talk a little bit about where we stand and some of the phenomenal success that team has had in rolling this out.
Neville Ray: Hey, thanks Braxton. Hey Kevin, how are you? So incredible momentum on the LTE front within the business couldn’t be more excited about cresting 300 million POPs that’s a lot of work over many years, but the change in the network over the last 12 months to 18 months with the advent of low band and the pace at which we've been able to both clear and then deploy that spectrum is a huge, huge lift for the business. So when I look at the next opportunities coming for us, we have already deployed 175 million of the 190 million license POPs of low band that we had in the stable as John referenced in the opening comments another 20 to come. The lion line share event is unencumbered, you can anticipate it will be rolled out at very fast pace as we have demonstrated this last year. The non-incumbency allows us to very rapidly hang the equipment we need on tenants on base station gear onto existing steel that’s the model that we utilize which is very, very CapEx efficient as you have seen through 2013, 2014 and now 2015. So hugely excited about the momentum looking at our next 20 million. Hopefully there will be more opportunities coming prior to the auction in the 600 spectrum and we have got a great team that deploys the spectrum extremely fast and with great results for the business.
John Legere: Okay. Next question.
Operator: And we will take our next question from John Hodulik with UBS. Please go ahead.
John Hodulik: Thanks. Couple of follow-ups from previous questions. First, can you give us what percentage of device sales in the quarter were from installments and then how should we think about modeling that going forward and then I think Braxton you are alluding to this you made a lot of progress on the postpaid churn side, there is still pretty big gap between within you guys and AT&T, Verizon but as you rollout the A block you get more penetration of devices that I can see the A block spectrum, do you expect that gap to close?
Braxton Carter: Yeah, first of all the majority of what we are still doing is EIP financing. And I want to highlight something very significant for the first time in the last two and a half years, we actually have seen reaching an inflection point where the collections on EIP receivables have outstripped new EIP coming in, we actually saw a decrease of roughly 300 million in our overall EIP balances. JUMP! On Demand which is our leasing construct again as 4 Hero devices and those devices the vast majority of what we are doing is on leasing but EIP still is a very important part of the equation. Your question on closing the gap with the competition, I think it’s very important to note that sequentially all the carriers that have reported have seen the normal seasonal uptick in churn and specifically AT&T. And what I want to highlight is a continued significant year-over-year improvement down 18 basis points for T-Mobile U.S. year-over-year which again is the best year-over-year decrease and churn that we are seeing and that's what really just getting to relevance on the 700 megahertz roll out and this is why this is so important to us. We believe that there is definitely upside and it will help us close the gap with a lot of the operational initiatives that Mike Sievert has in place and addressing customer pinpoints and reducing churn. Mike, do you want to add to that?
Michael Sievert: Yes, John, I was just going to add. We don't have to guess about the answer to your question. The short answer is yes, we expect continued improvement. Every quarter this year we've had major improvement of 16, 17, now 18 basis points year-over-year improvement, our best churn quarter of the year. But what's interesting is we can already study what happens when somebody has a 700 megahertz phone and 700 megahertz market with extended range LTE and the answer is a lot lower churn. So we are not guessing, we've already got millions of customers in the situation now that we've rapidly rolled out. Thanks to Neville and team being ahead of the curve. So we're very confident about our ability in the medium churn to continue closing that gap because of the data we are seeing every day.
John Hodulik: Just a quick follow up on the JUMP! On Demand. As we look into the fourth quarter now obviously the holiday sales, big quarter for handsets. Should we expect JUMP! On Demand and EIP sort of flip in terms of majority sales you have a full quarter of the iPhone success, those are some of the pretty attractive plan that you have out there in the market.
Michael Sievert: In short yes. I think you know the curve is JUMP! On Demand is our most popular offer. As Braxton said in the third quarter was only available on a very limited number of handsets. We'll be modestly expanding that, but they are most popular handsets. So I would expect in the fourth quarter the majority of handsets in that category will be on JUMP! On Demand and that's by far the most popular offer right now.
John Legere: Again just I think it's going to be important that we certainly love to take shots the competition and we'll continue to do so on a daily basis. Just the question you have is related to AT&T insurance. So let's just keep the data the way it is and see what's happening. A year ago their postpaid voucher was 0.99 and then this year went to 1.16. Ours was 1.64 and it went to 1.46. So you can draw the trajectory of those and I think importantly as well in the year of 2015 the year that we are in over three quarter our postpaid phone editions are 2.6 million, AT&T's are -1.5 million and that's including the 300,000 that they won't tell us where they really came from. So let's just assume they come from this year. That's a 4 million customer swing so far and this trend is not new. If you take 11 quarter so you start with the beginning of 13, we have added 8.6 million postpaid phones and AT&T has lost 900,000. So this is the trend. We are very comfortable with where it's heading and as I said the porting ratio is with the AT&T have only got in better. So I think this with the re-segmenting up their business there is a piece of the business that they are interested in or they can compete in and we can have a broader discussion about content and video et cetera. But in this part of the business there really is a trend that's very, very positive from our stand point and will continue.
John Hodulik: Okay, thanks guys.
John Legere: Operator?
Operator: Thank you. We will take our next question from Ric Prentiss with Raymond James.
Ric Prentiss: Thanks. Obviously some very strong success on the customer size you are pointing out. John, the EBITDA growth is also impressive. I want to probe a little bit deeper on the EBITDA side though and the revenues. Braxton, you mentioned Data Stash has started to reverse, but you've seen some new deferrals. Can you help us understand a little bit as we look into the rest of '15 and then '16, does Data Stash become still a negative somehow?
Braxton Carter: Yeah, the way Data Stash works we have a gap in the first quarter that we pull a reverse throughout the year. But as customers use the gap and into the normal deferral of revenue if they don't use their full allowance of data, there are additional non-cash deferrals that happen we receive the cash up front, but we don't recognize the revenue to later. So yes this construct will continue to grow but our projections is that the non-cash benefit of leasing will exceed the Data Stash. So there is upside to report EBITDA and as it becomes material will certainly be fully transparent as to the net of the two which is the non-cash benefit to EBITDA.
Ric Prentiss: Okay and then as far as other trends with postpaid ARPU, the family plans and part of the promotional plans you put out there. What are the thoughts about where the trend lines are and in total on the reported ARPU line for postpaid.
Braxton Carter: Yeah it's a great question Ric. We have continued the message and reiterated today that we have general stabilization of ARPU. Unlike you're seeing with all the other national players at this point. The good news we're fully penetrated on the base on EIP and we're seeing a lot of strong data attached. But we have an emphasis on obtaining the highest value of postpaid phone customers which are family plans. And in the third quarter we were very focused with our four for 120 offering, the 10 gigabytes for all and attracting additional families from AT&T and Verizon. And when you look at the metrics that we give on the number of devices per customer, you saw very nice for account you saw very nice uptake in the third quarter relating to those family plan promotions. And the bottom line as you have much better retention and lower sack costs so the NPV of those family plan additions to our business is significantly positive and accretive. And we're more than willing to take a little bit of dilution on ARPU to achieve that. But repulsive promotion in and out of the market. So that's why we really have the general stabilization you will see some quarters up slightly you can see some quarters down slightly. But we're generally stabilization.
Michael Sievert: And Braxton and I'll just add that and we've said this in past quarter. So this is underscoring. The metrics to look are these account level metrics. And that's why we started disclosing in three quarters for you. That's how we model our business it's how you should be modeling us, and those are AD POP and ARPA. They're at all-time record highs and what that means is that our customers are paying more for their services at T-Mobile now in at any point in the company's history. That's a really important for everybody to understand. Now that's not because we're jacking up our prices it's because our customers are more involved with our services buying more from us paying us more than at any point in our company's history. And if you're modeling our company you've really got to look at that. And that's because as Braxton said the number of lines per account is at an all-time record high.
John Legere: That's good but there are follow up question coming in?
Ric Prentiss: Yeah if I could just on the prepaid ARPU side and how much usage you're providing into the prepaid whether it's 2 gig 5 gig just trying to understand term line on the prepaid ARPU as well given your success having customers there looking at ARPU and usage.
Michael Sievert: Yeah I think if you look back over the last four or five quarters what you see is a generally stable trend with prepaid ARPU. We really like how this business contributes to our EBITDA at these levels. As you know the financials of the prepaid business are a lot less sensitive to churn in ARPU because the investment products per customer at a customer level are a lot lower. So this business is contributing very nicely to our overall EBITDA performance. And what you're seeing as we're holding on to these ARPUs generally speaking over the last five quarters we're massively growing this business with the leading brand in the space MetroPCS.
John Legere: I'm going to jump over to a couple of the Twitter questions and then come back. And I want to acknowledge that wireless is in a full all out typing mode. And you actually have a number of questions I'd like to get to but I'm going to do one from you and Walt Piecyk and then there is a second industry structure question that Pierce has and I think it's quite good, but just a real quick touch maybe Micah, Braxton. Why did T-Mobile combined results for its wholesale in Q3 and how did M2M business actually perform?
Braxton Carter: Yeah so very simply we're just confirming to the industry practice on disclosure of wholesales of category. Breaking out more detail showing competitive information that nobody else was so we discontinue the process, but we're very excited about our M2M business that continues to grow. We think it's a very significant future opportunity.
Michael Sievert: Yeah. And just to head straight on the question, Pierce was asking where we're doing this to mask any weakness in one side or the other of that wholesale business MVNO or M2M. And the answer is emphatic no? This is what we've noticed are these two businesses are not two businesses. They are one business and their dynamics are similar even some of their revenue dynamics are similar. So just makes no sense to draw a distinction and to be the only one in the industry drawing that distinction.
John Legere: Right. Walt Piecyk had a question, can we get never read a comment on network expense, how will network expense trend with MetroPCS done in 700 megahertz deployment and there was a couple of questions Walt in other Pierce had about how many POPs can we expect now by the end of the year since you've cruised into 300 million already.
Braxton Carter: Yeah. Let's take the POPs question first. So, I can tell you we filled 300 today but we can't keep up with the pace and momentum. I've already requested 301. I know that as of yesterday. So by the end of the year I mean we're estimating somewhere in the 305 range which to put that into perspective for you is kind of the same as AT&T and Verizon near as them. The cool piece for us is the geographic expansion. We've more than doubled our LTE footprint year-to-date by the end of the year we'll have added a million square miles of LTE coverage across the US. So the pace and the reach of our LTE network John referenced fastest growing as well as the fastest it was pretty remarkable. And of course we're doing it ourselves. We built this footprint as T-Mobile not true acquisition or a combination of rural carriers. So that's scheduled to control of all of that is very much in our hands and we're deploying very, very fast. We have the great model and a great team. So expect more news for the end of the year and we'll certainly be piling on more POPs. In terms of the Metro question real quick I think it's easy to forget how quickly we combined two great businesses in Metro and T-Mobile into the last of the CDMA network was turned off when in July of this year a little over two years from when the two companies came together and of course we've grown remarkably both companies both brands customer basis. But that spectrum is being put to great use with our wide band LTE 260 markets in our sites for the end of the year from 245 today and across the cost structure back to Walt's question full run rate synergies will be delivered a well over a year ahead of plan. We will hit those fully in 2016. That numbers well north of a billion. I think we were conservative in our overall synergy estimates when we looked and put this deal together several years ago now and our run rate there is in the 9 billion to 10 billion range for the year for the full deal. So tremendous progress with Metro and of course tremendous progress on the LTE roll out.
John Legere: Okay. And I'm going to do one more Pierce question I'm going to go back to the calls. It sounds like we may need to have a separate Pierce phone call but it just I'll kind of open this and if there are follow-up questions and pieces of it I'd be glad to take them. One of the questions was do you expect companies like Google, Comcast, Charter et cetera to bid in the 600 auction? How will this effect T-Mobile in the industry? This is one of several industry structure question that I find fascinating things that are going to make the next 6 to 12 months just a really fascinating time period, I would add some of the things that Verizon and AT&T are attempting to do in video et cetera which I'll comment on. And I guess my answer is I do expect some dark horses to show up. And I think the dark horses showing up is nothing more than clarity for what we all are expecting is in industry that I've said many times that if the world believes that has all content will find its way to the internet and all internet will be viewed mobily. If we really believe that that structure will be managed by four wireless carriers vertically integrating and reverse and horizontally moving into the rest of these industry. It's crazy. So you think about what Verizon just did with Go90 launching a curated video service that nobody asked for coming out in week one number 220 app in the Apple Store and then shrinking after four weeks to 1,065 that’s clearly not going to fly and it’s not going to be their bridge to profitability in 2017. Serial TV sold in a cross-selling basis when your phone business is completely declining is not a strategy. And I think we saw Comcast discussed this morning tipping its toe in and using some optimality it may have to look at Wi-Fi on a MVNO basis and I think these are all just everybody looking at where they may go. The benefit that T-Mobile has right now is that we have the fastest growing brand and the fastest growing business with generating good cash flow we have a very strong business standalone but we are also a fascinating component in that continuum because we do control all the growth in the best brand in the mobile piece and as you look forward two to three years we will be far more thoughtful about how things move forward. So we are looking forward to being successful in the auction. We are also being - we are looking forward to that and other things that are going to shed some light as to where people are going and unlike dumb and dumber we don’t see these at a threat we are waiting for this vibrant industry to consolidate itself around players like ourselves to have a significant presence. So thanks for that question. I am sure that opens quite a few others. Let’s go back to the calls.
Operator: And we will take our next question from Amir Rosledowski [ph] with Barclays.
Unidentified Analyst: Thank you very much. John actually touching upon that last comment that you made. I would love to hear your thoughts on how you think MVNO strategy could impact the market, particularly one that leans on Wi-Fi as a primary means for data consumption. Obviously there has been some debates you folks have and willingness to work with other types of third-party providers in providing such types of services. I would love to hear your thoughts on that?
John Legere: I think in general there is a few thoughts, right, one is certainly this quarter’s earnings suggested that one of the bigger MVNOs and Track Bonus and doing too well. It’s a tough model. There are owner economics and I certainly think that if anybody has significant scale they would want owner economics. I am pretty sure that in the long term strategy of a player like Comcast they didn’t have a strategic board meeting and say hey, let us be an MVNO they are thinking of what’s happening with their business and what’s the natural evolution and they have a put option on the table, they have an old historical agreement that probably neither them but Verizon thought about using, why not use it. It’s a nice next step - in the water but the question is could you ever see a long term future where being an MVNO through Verizon is the strategy that Comcast will use for mobility without owner economic et cetera. I find that hard to believe but by the way if they did than what I do quickly is I along with Washington realized we now have five carriers not four. And by the way if Google 5 doesn't say the same thing now we have six, then you have a different perspective of what the options are and then the question really starts to be on a Wi-Fi only model or an MVNO model which you find value proposition to your customers that by going even further and having owner economics and a retail brand known for wireless could that be a better way to create growth and vibrancy in the future of course. So I think that’s a natural amongst the things that we will learn in the next year and of course they are not alone, Comcast is in a highly competitive market with other players who are now watching what they are doing and thinking about what their alternatives are in order to compete with their first MVNO what will they do? So I think it’s going to be fascinating. It’s part of what we have been predicting for a while.
Unidentified Analyst: Thank you very much. And I could do one follow-up question. Obviously we saw a pretty strong milestone with respect to your cash flow generation this quarter, how should we think about the pace of sort of cash generation going forward. Particularly as you balance the need to continue to invest in the network, the need to raise additional capital in order to support your network expansion as well as for the competitive framework and dynamics that are taking place?
Braxton Carter: Amir [ph], I mean I think it’s a great question. We have a management team that is completely aligned around value creation for all of our shareholders and the management team that totally understands that the key to that valuation is generating on sustainable increasing cash flows. And quite frankly the future is bright, with the ramp of that we’re getting from a growth standpoint translating to double-digit revenue increases on the service side translating into astronomical increases and the EBITDA 42% up year-over-year as the mid-point of our guidance at 25% for the full year versus 2014. The future is bright. If you also look at the fact that we’ve been pivoting our capital dollars and you’ve heard us say that we see no catalyst for a significant step function up in CapEx deployment nor do we see a catalyst based upon our success of any significant decreases in CapEx. We will continue to invest, strengthen our network, expand geographically and bring more value to this faster 4G LTE network in the country. But with that said you look at all the pieces, you look at what we’re doing from a working capital standpoint and on a levered basis we’re going to generate significant cash this year and that just gets better in the future. I will say that we’ve been very transparent in our ND&A we do plan on executing an EIP securitization in the fourth quarter. The amount will be less than 1 billion but it’s part of our whole working capital management and that’ll be good enough when it comes from that all so.
John Legere: Okay I'm going to jump to a quick Twitter messages coming in from Jim Patterson, so you may know Jim’s got a weekly newsletter that he sent and it’s usually great except what he can’t forget that he used to work with Sprint and got a little carried away with that. Are you guys getting a lot of ads through Apple Stores what’s your take on their lease strategy?
Michael Sievert: Yeah I can start, as we said when Apple announced that strategy in Apple Stores, we really like it. We think anything that can simplify things for customers is a good thing. I personally I’d love to see them really focus on Apple Stores. We were surprised that there was one of many options but it’s really great that to have them. I think it levels the playing field in the Apple Store and as a result what we’ve seen is that we believe we’re the fastest growing by far through that channel. I will say it’s a great quarter for us than the third quarter on iPhone. It’s a great quarter overall, the - people are interested in iPhones with an all-time record high we don’t disclose the specific numbers but we still have more iPhones in the third quarter than at any point in our history and the highest percentage of our sales where iPhones at any point in our history in the third quarter so that’s fueled by mostly what happens in our own stores that’s our number one channel but we had a really nice development in Apple Stores as well.
John Legere: Okay back to the phone.
Operator: And we will take our next question from Craig Moffett with MoffettNathanson. Please proceed.
Craig Moffett: Hi I want to return to this topic of your expansion in the LTE network how much of that is expanding in order to provide additional roaming coverage and how much of that is sufficiently been so you’re now really opening up those markets and as you think about opening in new markets and footprint expansion can you talk about where we are with respect to starting to put some retail prices in those markets and some marketing prices in those markets to now try to normalize market share in the places where you haven’t been before?
John Legere: Perfect, Neville do you want to clarify the first part it’s not roaming and then Mike can talk about the retail strategy?
Neville Ray: Yeah I mean obviously the expansion in terms of Footprint has been very rapid and that’s allowing our customers to experience great LTE in many-many more places they travel to. We constantly are working on roaming relationships to improving those and the quality and capability of those. What we’re laying down in much of this geography is a low band spectrum that we talked about earlier on the call. The coverage is great. It’s not just a roaming story thus far remember that the improvement in our existing markets with low band is also remarkable in terms of in building and capability. Where we sit today? I mean the team is working hard on one getting that coverage layer really robust, really strong and distribution to come in behind as we look at the best markets in ‘16, I'll hand back to Mike I think in terms of the distribution plans but we're laying the ground what for that for next year.
Michael Sievert: And Craig just to your at your question about the roaming, let me take you something back to what John said, we're adding this year 1 million square miles of coverage. You think about that and this is a country with something like 3.2 million square miles in the entire country. This year alone, our network thanks to Neville and team is growing by million. And that's just placing some roaming agreements that we've got that we won't need, but it's mostly just Greenfield of new build and the effect of extended range of LTE trends make twice.
John Legere: Part of the question was you using the word roaming the 300 million POPs of LTE do not include roaming.
Braxton Carter: No roaming at all.
John Legere: That's our native coverage. So if you think about from a distribution standpoint that's just tremendous opportunity for us to go into the edges of cities where we haven't have distribution or new cities entirely. Now don't expect hundreds of new stores from us all in one year. We're going to be really strategic about where is the best business opportunity so we need our great ROI on our capital investments and when we show you our capital numbers every year there is always a plan for a strategic retail expansion in the right areas which this year there are some great areas to go tackle as well as modernizing and updating our stores to make sure that we've got the very best ones in the industry. Okay?
Craig Moffett: Thank you.
Operator: And we will go next to Brett Feldman with Goldman Sachs.
Brett Feldman: Thanks for taking the question I want to go back to some of the comments earlier about the MetroPCS cost synergies and Neville's expectation that will be include the high year end. To what extent are some of those cost savings already in the run rate? Because based on the July shutdown of the CDMA network, it would see as we go into early next year there could potentially be a fairly meaningful step up in the savings or I guess maybe a step down in your spending.
Braxton Carter: Yeah let me take that, first of all as Neville said, the OpEx synergies are roughly $1 billion the CapEx synergies are $0.5 billion. So the run-rate synergies that will hit in early '16 are over $1.5 billion. So very significant benefit. And Brett as we decommission these networks, it takes fitting were from 3 to 6 months and you can see from our disclosures, we still have a significant amount of decommissioning that happened in the fourth quarter. We have not quantified the exact amount because it's in ever changing metrics. And I think that same to focus on is that yes there is benefit that's being layered in there will be incremental benefit in the fourth quarter, but we're really going to not be at that run rate into 2016. But it is part of the equation what you're seeing happening with our cost-to-service. Our cost-to-service has been trending down and significantly down as a percent of revenue. And that's not only the MetroPCS synergies but that's the scale of a lot of fixed cost and the efficiency that Neville and his team have rolled out the modernization and the expansion opportunities that we have. And that's the great thing about that low band spectrum. Neville has told us they said few is [ph] doing from the expansion that we did this year. He'd be putting up five macro sites for every one site that we're having to put up with the 700 megahertz A block. So very excited about that.
Brett Feldman: So just a follow up, I mean are you actually reinvesting in some of those synergies. You will just see that the potential for cost service maybe stepped down at some time next year would be there once you get to the full run rate, but I don't want to extrapolate something that's we're not thinking about it correctly.
Braxton Carter: So I think what I would focus on is that we're also continuing to expand the geographical coverage of our network. Eliminating that historical disadvantage that we've had well over million square miles of coverage this year. And will go further next year we have Verizon's network is now let 308 million 4G LTE. Neville just said it were at 301. We want to eliminate that differential. And there is additional cost. So yes we are reinvesting part of those synergies and please do keep that in mind.
Brett Feldman: Okay. And thanks for taking the question.
John Legere: Operator?
Operator: And we will take our next question from John Atkin [ph] with RBC Capital markets.
Unidentified Analyst: Yes. I wonder if you can comment on your LTE network having reached on its full coverage with the priorities will be for next year and then more specifically on the AWS3 spectrum and what you've seen in terms of timeline as to when next to builds out? Thank you.
Braxton Carter: Let's take the latter part first. So on AWS3 the timing for really infrastructure to come into the market place is mid to late next year. So potential deployment and the 16 timeframe probably like what we're seeing on the handset size is really a 17 story, so with 16 into 17 where activity will pick up and I think you'll see some of the other big too kind of playing on similar timeframes. Was there second part, what is the first part?
Unidentified Analyst: Yeah, I mean with coverage now almost completed, what you're doing in terms of identification so was putting that type of things.
Braxton Carter: Yeah. Well it's I mean next year is a combination of two things right? One we want to continue to advance the footprint and to enhance the footprint and some of these new areas where we're laying down - show 700 megahertz. So continued our delay we've got new POPs now coming through with new A block to run at. So you will continue to see us strengthen our coverage both in new areas and within the existing footprint. Everybody is doing very much the same. And then from a capacity perspective that's the other focus for us. Obviously we're in a great position. We have more spectrum per customer than the big two, we have a very, very efficient network, thankfully through the MetroPCS combination, a ton of LTE spectrum that we've applied to an extremely dense network that puts us in a very, very good place to leverage that capacity going forward. We also I'd tell you we have the most advanced LTE network in the US today categorically. We're driving key efficiencies are move into voice of our LTE into the RCS space with advanced messaging, video over LTE what we're doing on Wi-Fi, carrier aggregation, high rolled MiMO, and whole host of technique terms that throughout there. But there are all driven by performance improvements as well as driving greater capacity and capability on the network. We are the fastest today. We've been effectively for the best part of the last two years. We look to maintain that performance and speed as we look at 2016 but we will start to move on small sale strategy some of those pieces we've not been in the huge rush. The much of our competition has been some unsuccessfully I'd add because of the benefit of the spectrum and the density of the network that we have which to be quite frank in the NV of all of our competitors at this point in time. So busy year ahead on '16 always much to do but with a great '15 in the bag already with the 300 million POPs underway at completed.
John Legere: Okay let me take one question, was there a...
Unidentified Analyst: Yeah. Just for Braxton real quick if there is a way to quantify the extent savings that you're seeing on the run rate basis and then if there is a way to kind of characterize ensuring differential between your 700 and non-700 markets you've talked about at the substantial but anything way to put a little bit more clarity behind that.
Braxton Carter: Yeah. So from a roaming standpoint we've never had end market roaming. So you have never seen a material roaming expense at T-Mobile unlike you know an entity like Sprint that has end market roaming. And I think at one point there are paying Verizon over a billion a year, about a half billion blast numbers I saw on that. Ours is significantly less than that. It is a benefit but I would not look at it as a material mover of the overall financial. There is lots of puts and takes but it is a benefit but we're reinvesting that benefit in geographical expansion. So that's the way that I take look at it. The churn profile on the 700 megahertz were just really starting to see improvements. Last that I saw we have over 15 million band 12 compatible handsets in the marketplace at this point and Neville and his team as you have seen are going like hell in rolling that out. But the benefit really is to come. We're just getting critical mass on this that will continue to develop and we believe that will be some very nice tailwinds when we're working at customer retention.
John Legere: And a quick question on Twitter, I don't think we'd be able to do justice but we'll make a quick comment on it, from Lionel Barrow when OEMs create phones but sell them on online retailers both from their own website do you consider that a slight to you. Kind of I don't want to talk about that myopically as if there were somebody that just won't sell through T-Mobile, but we love remember we are ones that have transformed the business model away from OEMs hiding behind service contracts and artificially the high prices in contract. So we love the ability for all of sorts of cool devices to be sold in any different ways including our retail channels and used on our network. We certainly are the beneficiary of a much more open device selling process than the historical ones. On the other hand, we have as you all been a part of one of the best branded retail channels in any industry right now. And frankly I'll just take the flipside, I can't think of any good model where an OEM has for good reason created an exclusive sale on their own product and been successful and for the stand. So I won't tick down the list from Fire phone down, but certainly there is a lot more history that suggest that the retail channels work better. But we love if somebody wants to for example buy a Windows phone from the new Microsoft store and use that on T-Mobile what a great idea. Okay let's go back to the dial in questions.
Operator: And we will take our next question from Mike McCormack with Jefferies.
Michael McCormack: Hey guys thanks Braxton maybe to say a comment on the EBITDA guide for the full year. I guess a little surprising in raise that it looks like EBITDA could be flat sequentially and it would be at the high end been with the incremental synergies and obviously the - revenue coming in as well. And then just a second thing EIP versus the inventory fees. Should we be looking in those two sort of another dig in net based that's been in aggregate basis to really going to better view on cash headwinds.
Braxton Carter: Yeah I think first of all on EBITDA I want to clarify that the EBITDA guidance we're giving is cash EBITDA before any benefits on a non-cash basis from leasing or Data Stash. There will definitely be goodness that we see for the year. But at this point we stuck with the original organic guidance that we've given. As to the non-cash we're fully penetrated from an EIP standpoint. And again I want to point out that our net receivables on EIP actually have decreased where collections on EIP have now outstripped road. So we're in a very different place than AT&T, Verizon and Sprint which are a still penetrating their bases and having goodness accrue to them from that. We're actually in the reverse situation that where our collections are outstripping. So we believe it's more than a fair disclosure on non-cash by just taking leasing and Data Stash.
Michael Sievert: And Mike if you are asking about whether or not you can add the two and get a view if that's our working capital impact. The short answer is no really, so if you look at the EIP receivables base, that's net of the deposits that people make in cash and about half of our customers make a deposit of some sort give or take. So the EIP balances have always been a function of that that $822 million that we disclosed to you which moved from inventory to property and equipment and that's since the value of all the leased devices was the value of all those phones but a lot of those people paid cash deposits which is not in that line item. So you really can't sum the two and make it a proxy for what it would have been if there was all EIP is that make sense.
Michael McCormack: No that does I guess just the follow up on that the $1 billion for securitization you guys are talking about in Q4. What was the rationale for the change in view there or is that just as things developed overtime.
Braxton Carter: Yeah well it will actually be a less than billion. But we've been focused on just not something in the marketplace see what's in the low advanced rates and a higher cost to capital. And what we will be executing will be very efficient cost to capital given the tenure of what we are doing with a very high advanced rate, really leading the industry on how efficient we are utilizing as receivables that we are taking into secularization. So definitely more to come on that, but that execution will definitely happen in the fourth quarter and it makes a lot of funds given what we are at.
Michael McCormack: Understood. Thanks guys.
Operator: And we will go next to Simon Flannery with Morgan Stanley.
Simon Flannery: Thank you very much. Good morning. The FCC recently launched another investigation into special access looking at things like some of these multiyear contracts. I was wondering if you could just talk about that issue and what the potential opportunities are if the FCC does indeed kind of make some changes to that, thanks.
Neville Ray: Yeah, I see the FCC starting to make noise about attacking some of the right structure this been out there on the fixed side for some time. For us, I mean to be quite frank we result our back old problem for our sales sides several years ago. We embossed on a fiber to the sales strategy. Its 5 years ago. And that's been a huge help for us with our LTE roll out, not only that we run fiber, I mean we run very scalable fiber and great deals behind that which have hugely helped us with the flat cost structure we have been delivering to the business. So it will be interesting to see what comes out of this FCC process, much of what we've been doing on expanding the footprint has driven us into obviously more rural parts of America and is tougher to find. So that's less of the special access issue I think. I think the fight is primarily with some of the big fix guys and one of the other wireless guys not so much on battle to fight on this one Simon and we are in a good place already.
Simon Flannery: Okay. And just a quick follow up. If we continue to see you putting up some very good speed numbers and spends talking about getting the speeds up. But what's the right goal for your network over the next couple of years. What do you want to be delivering on average to the customer?
Neville Ray: The fastest.
John Legere: Neville's not competitive.
Simon Flannery: Anytime soon or is this still going to be in the 18's 20's on average?
Braxton Carter: Today we stayed around this 20 megabit per second, Mark has measured through UKLA for best part of two years and every quarter goes by I think we hear noise about competition is going to come close, the sprint guys will do something, I mean they are just over half of our average speed nationally right now. So they have the big, big hill to climb, AT&T too. Verizon has been close, but can't close that gap and so why want to maintain it. We have actually been improving our speeds quarter-on-quarter. So with a lot of capacity being carried by the network we continue with our wide band LTE roll out and a bunch of the LTE features that I referenced. Things like high roll to MiMO adding those self-performance and capacity to the network as this carry rag and they continue drive contiguous spectrum. So we want to stay in a leadership position on speed. It gives us some great bragging rights which we are very proud of, if you want the best LTE speeds and performance in the nation, come to T-Mobile. That's the great story that we look to maintain. Where does speeds go in '16 and '17, I think it's going to be a function of competitive intensity, load, how well we do with roll out of new capabilities, new features, new spectrum across. But we look to maintain the leadership position and great story for us to be increasing speed performance on an average basis with the tremendous growth that we have supported with our customer base expansion.
John Legere: I think it's a very important to note. For example, it was 7 quarters ago that we announced the nation’s fastest 4G LTE certainly I'm sure to the grin of very well endowed with lawyers companies who if they could prove anything different would have and try every day Neville is highly competitive. I think what you have so far the biggest issue that you see change in 2015 is a significant number of the geographies as we say over the year a million square miles of new LTE coverage. You got a lot of people that either going from no coverage at all to really fast coverage or slow coverage to very fast coverage and then obviously with leadership position that Neville announced it’s one more quarter that I haven’t seen me add yet but I think better equal slower is the commercial that would have to be run right now.
Michael Sievert: And one last commercial on this which is we talk a lot of speeding, you asked about speed, at a certain point once you got have a speed in our range there are other things that matter just as much and think about something we don’t talk about a lot which is how fast our network responds the latency. We’re the fastest responding network and once you can stream let’s say a 4K high res video which takes about 16 megabits per second, the marginal benefit of being faster is at least on par with other things were obsessed with and when you’re browsing around the Internet and you touch things on your screen you want that network to respond immediately and Neville and team have built the fastest responding LTE network in the country as well so we’re obsessed with the total customer experience.
Braxton Carter: Just as I mentioned we’re about, our latency is about 15% faster than the other three wireless competitors in the market place today so it’s a material gap.
John Legere: I think it’s a good winner though a big winner is in the United States right now consumers are winning. And I think we’ve caused a competition to invest in your network and get speed and let’s this maybe the second time this call and history may be made that I give Sprint credit is the bottom of the pack is moving up. The pack is closing so on an improvement basis, certainly they’ve done well as well so that’s good for the overall country that all wireless carriers are investing heavily in their networks that is except by the way for their big wireless holder spectrum dish who has been given a lot of waver by the FCC on utilization of some of the spectrum for satellite so there could be used to create a competitive environment in the U.S. and so far it has put to work exactly no amount of that spectrum and I think that’s an interesting variable to keep an eye on because I think with the four wireless carriers Washington certainly was expecting to create more competition with those wavers and so far I'm still waiting to see that as well. But that is, that’s one I was trying to way in the beginning of this compliment to some of the progress we’re just making.
Simon Flannery: Thanks a lot.
Operator: And we will take our next question from Jonathan Chaplin with New Street Research.
Unidentified Analyst: Hi there this is Brett [ph] for Jonathan thanks for taking the question. Two if I could, what prove the disorientation and postpaid phone net adds in the sort of back half of September and what’s driving the sequential ARPU decline with expected ARPU progress throughout the year so just wondering what the trends are on that front? Thanks.
John Legere: Yeah I’ll start and let Mike pop in. there’s no, you can’t - it’s pretty hard to call our postpaid numbers a decline or a slowdown and the issue really is you probably looking at what September must have been because I made certain discussions and with 12 days left. The issue within September, the issue with August is our biggest month so August is a huge gigantic month so that’s deceleration. We also had that certain promos that were ineffective went up in September and we had some new ones that came in October so that’s really the issue. But as we say August gigantic the quarter was very strong, the momentum right now is very clear and if you’re trying to look at that couple of weeks in September that’s really the explanation. But I wouldn’t call it a deceleration. And on the ARPU the most important thing as we said is ARPU is basically flat. But it’s kind of in line with what we’d expect for the expansion that’s taking place. We moved up to an average number of customers on an account of just under 2.5 so we’re closing the gap on Verizon and others and their family plan. And then if you look at the average billing current account, it’s an all-time high for us. And I think that’s the most important some of the way we’ve run our business has caused an expansion in the family programs broader number of accounts, flatter ARPU but broader and stronger all-time high in the average billing per account.
Michael Sievert: And Jonathan one thing to add to that it’s kind of interesting, as you know we’ve had we have the highest lines per account we’ve ever had in those family plans are highly profitable and the marginal lines are highly profitable but of course there is suppressive to that ARPU metric which isn’t indicative of our EBITDA development because our EBITDA was 42% year-over-year and so what I want you to know is our data attach which is one of the real markers of customer value that we look at on our activation flow in Q3 was at an all-time high. And so when we talk about our average billings per account being at an all-time high and our customers being more involved with our services. That's something to look at. When customers come and activate with us at retail they're getting data attached more often now than at any point in our company's historically.
John Legere: Okay operator, I think we'll probably take one more we'll take one more question from the phone.
Operator: Okay and we will take our next question from Michael Rollins with Citi.
Michael Rollins: Hi, thanks for taking the questions. two if I could, first can you talk a bit more the higher looking at 4Q marketing strategy and your approach to the deep reality of this business given with your preference was the year ago where you instead of be more aggressive in 4Q you talk more aggressive of that being more aggressive in the first quarter. And the second thing I was curious guys do you track reporting ratios for smart phones and how to think about the share gains of more strategic customers within the postpaid segment. Thanks.
John Legere: Mike the answer is no, not really I'm not going to give you a color on how we're going to unfold the next three months, because it's competitively sensitive. Couple of things John told you that in the last 7 days our porting was higher than Q3. So we've got nice momentum developing right now and we've got a great game plan for the rest of the quarter and we're going to leave it with surprise for our competitors if that's okay. So that's on that topic. We haven't very deliberate seasonality strategy so we bring about these moments on purpose like August this year where deliberately we drove what was so far the highest month of the year.
Michael Sievert: Yeah the second question smartphone.
John Legere: Yeah I think the second question may we can answer back it sounded almost as if a backend way to help us look into our porting and our customer migrations from a type of customers smartphone or and I want to amplify because I think some of that's get caused by I think when AT&T announced earnings they said they were focused on profitable customers and not chasing those other customers that are non-profitable. But I'm still trying to understand how you train a sales force in a store to profile somebody when they walk in to ask them if they're profitable. But I think Mike I asked that question. The short answer is there is no significant porting at non-smartphones. So almost our entire base smartphones almost our entire flow of smartphones and porting is skewed even more. So people with non-smartphones tend to let their number go at a higher rate than the smartphone customer. So it's a non-material impact at all.
Michael Rollins: Thanks very much.
John Legere: There is I can't help but noticed that the next question that I wasn't going to take there is only going to take one more but it does happened to be you Walt so let's take one last question from Walt Piecyk.
Walt Piecyk: Are you sure you want to do that John?
John Legere: Of course I do.
Walt Piecyk: Okay. On Uncarrier 10 everything as you guys have talked about in the past is doubling - but this when I guess is in - is there something new you've already talked about pinpoints, but with there being in LA can you give us some hint whether this is going to be something on the mobile video front.
John Legere: While we can give you a handset it's going to be warm, the weather will be nice. And I think the only obviously we're not going to give any input on it well the recent right now. You know what I will say Paul.
Walt Piecyk: Is it at least something as appose to maybe what you're talking about the force part that not with the other stuff was in new, but I was more of a have you talked doubling down on past successful strategies. Is this more...
John Legere: So couple of things, what we've been doing lately ramping up past one. This will not be an amp. We've been very protective of the Uncarrier being something that solves pinpoints and frankly we've been very protective because there is been at least one or two moves lately where people have said you guys running out of steam are there less pinpoints. I can tell you that this one is solidly in the zone of when we created the idea I even said this thing gigantic can we really do that and I can't wait to announce so it's not only one of those ones that I think our competitors are absolutely going to piss their pants on. I mean it's really going to if they're not worried, they should really worry, because they've got till November 10th to really be in trouble. And when we do it we're going to do it in the large way that such an uncarrier move commence. So Uncarrier X will be worth your time well. I would actually go out there now and get your front row seat.
Walt Piecyk: I mean now that's getting cold here that's probably not a bad idea so. I'll see you there.
Braxton Carter: Okay.
John Legere: Well we appreciate everybody's dialing in. I think there is a lot of follow on discussion we should have. But two things that I like to do before we close the call. There in this last quarter as I'm also struck by the strength of the MetroPCS results, the incredible progress that our teams have made being here at the NASDAQ launching the business together. Sadly in the quarter the just past the founder of MetroPCS, Roger Linquist passed away. And I would just like to take some, a moment on this call to acknowledge one of the real pioneers in this industry and somebody that was well loved and respected who is no longer with us and have this call and the great results of Metro use it as a tribute to Roger and those that those of you that knew him. And with that we look forward to seeing you at Uncarrier 10 and then we look forward to coming back and talking about Q4 results soon after. All right, thank you operator.
Operator: Thank you sir. And ladies and gentlemen this concludes the T-Mobile US third quarter 2015 conference call. If you have any further questions, you may contact Investor Relations or media departments. Thank you for your participation. You may now disconnect and have a pleasant day.